Operator: Good afternoon, and welcome to Green Thumb's Third Quarter 2022 Earnings Conference call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the conclusion of formal remarks. During the question-and-answer session, we would ask for limit for one question per person. As a reminder, a live audio webcast of the call is available on the Investor Relations section of Green Thumb's website and will be archived for replay. I'd like to remind everyone that, today's call is being recorded. I will now turn the call over to Shannon Weaver, Director of Internal Communications. Please go ahead.
Shannon Weaver: Thanks, Betsy. Good morning and welcome to Green Thumb's third quarter 2022 earnings call. I'm here today with Founder and CEO, Ben Kovler, and Chief Financial Officer, Anthony Georgiadis. Today's discussion and responses to questions may include forward-looking statements, which are subject to various risks and uncertainties that could cause our actual results to differ materially from these statements. These risks and uncertainties are detailed in the earnings press release issued today, along with our reports filed with the United States Securities and Exchange Commission and Canadian Securities regulators, including the 2021 annual report filed on Form 10-K. This report along with today's earnings release, can be found under the Investors section of our website. Green Thumb assumes no obligations to update or revise any forward-looking statements to reflect events or circumstances that may arise after the date of this call. Throughout the discussion, Green Thumb will refer to non-GAAP financial measures, including EBITDA and adjusted operating EBITDA. A reconciliation of non-GAAP financial measures to the most directly comparable GAAP measures is included in our earnings press release and SEC and SEDAR filing. Please note all financial information is provided in U.S. dollars unless otherwise indicated. Thanks, everyone. And now, here's Ben.
Ben Kovler: Thank Shannon. Good afternoon everyone, and thank you for joining our third quarter conference call. Green Thumb reported record revenue and adjusted operating EBITDA results, even in the face of rising inflation and greater economic uncertainty. Revenue increased 12% year-over-year and 3% quarter-over-quarter to $261 million. We had positive GAAP net income for the 9th consecutive quarter. Adjusted operating EBITDA grew 7% sequentially to $84 million or 32% of revenue for the quarter, and $230 million year-to-date. Finally, our cash flow from operations was $48 million for the quarter and $88 million year-to-date. We feel good about these results and I think we are positioned to finish the year with solid performance. That said, no one has a crystal ball on when inflation will come under control and how much it will impact consumer spending, particularly in this new industry. Despite these challenges, consumer demand for legal cannabis remains healthy. While there is price compression in certain markets, unit growth increased 22% year-over-year according to BDSA. We believe this is a clear indicator that cannabis is an essential purchase for American consumers. As I've said before, cannabis is a branded consumer packaged goods business and its growth continues to over index other CPG categories, like domestic beer, which declined 1% year-over-year. Green Thumb continues to build strong brand loyalty with products like Rhythm Flower and Dogwalkers pre-rolls.  Finally, we are operating in highly attractive states. We are seeing strong momentum in new adult use markets like New Jersey and look forward to similar results in Rhode Island, which is expected to launch adult use on December 1st and Connecticut, which should launch in the next six months. In addition, Green Thumb is well positioned in both Virginia and New York for when those states come online with adult use. Zooming out, the U.S. Cannabis industry generated sales of over $6.6 billion in the third quarter, which equates to a run rate of over $26 billion, that is 3% growth year-over-year and 2% growth quarter-over-quarter for the industry. In contrast, Green Thumb grew 13% year-over-year and 3% quarter-over-quarter. Obviously, we are proud of that achievement, but we are focused on the future. We are laying the foundation for industry-leading growth as demonstrated by our disciplined capital spending, creative partnerships and our commitment to good old hard work. The recent Biden executive order and potential passage of the Safe Act, as Senator Schumer alluded to earlier this week are positive news for the industry. We continue to operate with a healthy degree of skepticism that keeps us focused on protecting against downside risk, which just means staying focused on cash flow and our balance sheet. Even with all the noise in the marketplace, Green Thumb's cash actually grew in the third quarter. We paid all of our taxes and we extended our debt agreement to April 30, 2025. We believe that worrying about the downside is equally important as planning for the upside, and can actually create more value for stakeholders overtime. Market demand for cannabis will continue to give us a runway of opportunity and our recently announced innovative partnership with Circle K, the global convenience store retailer, is a prime example of that. As many of you know, Florida is an interesting and unique market for starters. It is the third largest cannabis market in the U. S. with annualized sales of over $2 billion and what is still a medical only market. The other unique attribute about Florida is that there is no cap on the number of dispensaries that license holders may open. As we announced on October 19th, we plan to expand our medical retail footprint in Florida through leasing arrangements with Circle K. As the first phase of our test and learn rollout subject to regulatory approvals, we plan to open approximately 10 RISE Express branded medical dispensaries. Through this exclusive agreement, Green Thumb can lease space adjacent to Circle K stores in Florida, where the retailer currently operates approximately 600 locations. The RISE Express stores will offer patients with a valid medical marijuana identification card expanded access to a selection of branded medical cannabis products, including Rhythm flower, Dogwalkers pre-rolls, Incredibles Gummies and 15.57Shine vapes. And while we've had a presence in Florida since 2018 and currently operate seven medical dispensaries, we believe opening RISE Express can change the game. Convenience is a strong challenge retail and people including medical cannabis patients want more convenient access to cannabis. The new RISE Express model is a huge step forward in normalizing cannabis to routine access. Now, patients will be able to pick up a pack of Dogwalkers or incredibles in the same trip as they fill up their tank of gas.  A lot of forethought and preparation went into making this agreement possible. For example, we are near completion of our new cultivation facility in Ocala, Florida, which will supply products for the RISE Express stores. So to comply with Florida's integrated supply and production regulations, it was critical to make this investment well in advance of expanding our retail footprint, so we have the product ready. Capital allocation decisions like this require long range planning to position our company for future returns and value creation. Before I turn the call over to Anthony to review the financials, I want to address the recent departure of three Green Thumb Board Members. Unfortunately, it was a situation where opinions diverged. And while we worked behind the scenes for quite a while to find the resolution, it became clear we could not find the common ground and those individuals elected to leave the company. I am grateful for all the guidance and insight we received from our Former Directors. Fortunately, we have two new great board members Richard Drexler, a Seasoned Financial Executive with strong Board and Audit experience. And Jeff Goldman, who has operated in scale multiple branded CPG businesses. We look forward to benefiting from their considerable experience and fresh perspectives. We are excited to move forward with a team and board who understand the inherent challenges of operating a federally illegal business and are committed to our goal of maximizing shareholder value. Finally, I want to emphasize that strong corporate governance remains a top priority for Green Thumb. We believe it is especially relevant to the important work we are doing day in and day out to assure our stakeholders that their company is in good hands and as a leadership team aligned with their interests. We continue to actively recruit new board members in preparation for our potential U.S. listing. Now I'll turn the call over to Anthony to review the financials. Anthony?
Anthony Georgiadis: Thanks, Ben and good afternoon, everyone. As you just heard the company posted solid financial results for the third quarter, generating 261 million of top-line net revenue and 84 million in adjusted operating EBITDA. Total net revenue increased 7 million over the previous quarter as our gross CPG and retail revenue both grew by 7 million, which was offset by corresponding $7 million increase in inter company revenue. During the quarter the company generated gross margins of 50.2% and approximate 70 basis point improvement over Q2. While the company continued to battle price compression and inflationary pressure in many of its markets, increased wholesale production efficiency, aggressive procurement, good negotiating, and retail verticality allowed the company to maintain its gross margins slightly above its internal 50% target.  While, we have started to see some relief in pricing compression across our market base, we continue to navigate a challenging supply chain and inflationary pressures on many of our cost inputs, particularly packaging and labor. On the SG&A side, excluding depreciation, amortization, one time transaction costs and stock based comp, normalize SG&A approximated $53 million, a $4 million decrease from Q2. This decrease was largely driven by various reductions made earlier in the year as well as a continued to focus on closely monitoring corporate spent. Given the current macroeconomic uncertainty, the company intends to keep a close eye on its SG&A to balance short-term business profitability targets with its long-term strategic objectives and to confirm our 30% EBITDA margin target remains.  Net SG&A along with $5.6 million and other expense, the company generated $10 million in net income, or $0.04 per diluted share, our ninth consecutive quarter of positive earnings per share from the business.  Turning to our balance sheet, the company ended the quarter with $147 million of cash, a slight increase over Q2. Our healthy cash balance is the result of a tremendous amount of hard work by our team. Strong operating performance combined with a daily focus on managing our inventory levels has created a one plus one equals three type of math our shareholders love. The company generated $48 million in operating cash flow the third quarter and $88 million year-to-date, all the while paying Uncle Sam $31 million in cash taxes in Q3 and $95 million year-to-date. During Q3, the company invested $49 million in gross CapEx as we continue to make substantial capital investments in New York, Florida, New Jersey, Virginia and Minnesota. Year-to-date, we have invested $178 million in gross CapEx and remain bullish that our investments will drive meaningful cash on cash returns for our shareholders. As we look ahead to 2023 we anticipate continuing to allocate capital to certain markets, while conservatively managing our balance sheet.  In closing, as we head into the season of thanks, we can't say enough about our entire Green Thumb family and the magic they make happen every day. As a team, we continue to navigate a highly complex industry with ever changing rules, aggressive competition, and an unpredictable economic environment. However, through hard work and dedication, we remain focused on our true North Star, the consumer. We continue to think that above all odds, our success will be defined by our ability to embrace our craft and create products, brands and retail experiences that resonate with the consumer. We hope everyone has a wonderful holiday season with their loved ones and look forward to speaking with you all in the New Year. Back to you, Ben.
Ben Kovler : Thank you, Anthony. In closing, I'm very optimistic about the future of the U.S. cannabis market and then proud of Green Thumb's leadership position in the industry. Sure, there will always be some bumps in the road, but we’ll be smarter and more resilient as a result. Our end game has always been to play to strength. And to us that means staying true to our strategy and executing it to the best of our ability. It's very important to us that our investors and stakeholders know who we are and what we stand for. First, we have always resisted the exuberance of growth for growth’s sake. With the looming recession, balance sheets are coming back into focus and we are proud of our prudent approach to maintaining a strong one, which can fortify us in a downturn as well as give us the optionality to act on opportunity. Second, we believe in putting capital in the markets that will generate strong returns overtime. As I mentioned earlier, the Circle K partnership could not have happened without forward-looking capital investment and that's what we will continue to do. Third, diversification helps. That's why we have built a diversified portfolio of states provide some insulation from near-term volatility that's happening in certain markets. Fourth, embrace your mission. We believe in expanding access to cannabis as a means to improve well-being. This quarter, RISE Dispensaries served as a premier sponsor of HeadCount’s Cannabis Voter Project to encourage voters to roll up to the polls, by registering and informing voters who support cannabis policy reform. And while President Biden's recent executive order is a step in the right direction, there is still a big capitol hill decline. We are proud to be part of this effort and we will continue to do important work to support cannabis policy reform and restorative justice. And finally, we believe in our brands, we appreciate the flower and we embrace our craft at every opportunity. With that, we'll open up the call for questions. Operator?
Operator: [Operator Instructions] Your first question today comes from Vivian Azer with Cowen. Please go ahead.
Vivian Azer: Hi. Thank you so much and good evening. We got a lot of inbounds on your Circle K announcement, not surprisingly, so many cannabis CEOs, in particular, in Canada have talked about the possibility of selling through [C-Gas] and you guys are actualizing it through a very interesting partnership with Circle K. I recognize that a lot of this is probably competitively sensitive. But can you expand it all on like, CapEx spend? What are you guys responsible for? Is Circle K responsible for anything? Are you paying them rent? Is there revenue sharing involved? Just any incremental detail on kind of the financial relationship would be helpful. Thank you.
Ben Kovler: Sure. Thanks, Vivien. This is Ben. Thank you for the question. Not much more we can say than what we have already said. I think it's a standard landlord tenant relationship and we are paying rent. And as of all RISE Dispensaries locations in Florida, this is a separate entrance, its adjacent to the convenience store, the patients need to have valid ID with the state and are subject to sort of normal regulations in the state of Florida. And that's about all we can say. We are pleased with the progressive thinking of the counterparty here, and I think this is where the momentum in the world is going, but it's a crawl, walk, run approach. And we are excited about what's ahead and look forward to 2023.
Operator: The next question comes from Spencer Hanus with Wolfe Research.
Spencer Hanus : So I just wanted to focus on pricing for a minute, how are you thinking about industry pricing as we head into 4Q and then into next year? And then with the increasing constraints on capital that we're seeing across the industry, do you think we'll start to see more rational capacity expansions? Or do we still have to wait on that?
Anthony Georgiadis: Spencer, Anthony here. I'll take that question. It's a great question. Look, I said, in the prepared remarks, we started to see a slowdown in the price compression that we really starting to experience earlier in the year. Where it goes from here, candidly, we don't have a crystal ball, if anyone's guess, one of the things we like about our business is the diversified kind of approach to it, because we're not experiencing kind of the same level of compression across the entire market base. What 2023 looks like, candidly, just anyone's guess. In terms of the impact, the capital markets on essentially capacity and that corresponding impact on pricing. Again, it's really difficult to say, this really comes down to a market to market kind of discussion. But obviously, with the capital market tightening that we've seen, that's less dollars available for CapEx, which really should show up over the next several call it, 12 to 36 months. So, TBD, kind of what the true impact is, again, it really just comes back to market to market. But we certainly think that the capital market challenges that that we're experiencing today will show up within the business at some point time.
Operator: The next question comes from Matt McGinley with Needham.
Matt McGinley: So with wholesale price compression and operators becoming more vertically integrated in many of your key wholesale markets, I think having net wholesale revenue that was flat is definitely a solid result. Was that primarily New Jersey that was offsetting weakness in other markets? Or did something else help you in that wholesale segment in this quarter? And on the comments made on the pricing, is that something that actually helped the third quarter or is that more of a perspective comment that pricing is now looking good second derivative positive and it's beginning to stabilize? Or I guess is that something that should flow through your P&L and helps you in this quarter?
Anthony Georgiadis: So in terms of kind of what we experienced on the wholesale side of the business, New Jersey helped, but overall, this was quite a grind. I think the team did an excellent job in really taking advantage of all the opportunities that presented themselves within the market. But this was not just a New Jersey story. We kind of mentioned during the prepared remarks, it was a $7 million kind of increase in gross and a flat kind of net. But it wasn't all driven by one specific market.  Your second question? Do you mind just repeating it just to make sure I've got it straight.
Matt McGinley: I want to make sure I understand what you're kind of doing around the pricing game a little bit better. Is that second derivative positive and that will look better or stabilize I guess or are you saying that pricing actually had a positive impact on your -- either margin or top-line in the third quarter?
Anthony Georgiadis: It's -- I mean look, pricing certainly didn't help kind of wholesale revenue in the quarter. The impact relative to Q2, I think we experienced slightly less compression in Q3 over Q2 but this was really kind of a unit game. I mean, we were able to drive the growth by producing and selling more units. We didn't experience a big benefit from even the slowdown in pricing that you just alluded to.
Operator: The next question comes from Eric Des Lauriers with Craig-Hallum Capital Group. 
Eric Des Lauriers: Thanks for taking my question. And congrats on the solid results here. Ben, you mentioned that worrying about the downside is just as important as preparing for the upside. I think that's incredibly prescient and will become increasingly apparent here. Could you just expand on that comment a bit? Maybe give us some examples of, how you've implemented that in the past? And then perhaps how that philosophy is informing some of your CapEx decisions today? Thanks.
Ben Kovler: Sure. Thanks, Eric. Appreciate the question. Good one. Look, we are paranoid, we’re worries. And so instead of just constantly thinking the glass is half full although we're an optimistic people and we like to be upside, we're prepared for the worst. And so it's come up all over the place, it's come up in our M&A strategy, it has come up in where we've expanded to, it's come up in keeping a healthy amount of cash not getting too much debt. We can't bank on what we don't know, and especially what we don't control. So the start of any particular market is always late and takes too long and cost more than you think.  So we just -- it's hard to bet everything on the come, the biggest thing we have confidence in is the demand on the product. You sleep incredibly well on that. We just kind of focus on that and worry about everything else that could go wrong, because it's not that, we tend to do okay, we make products that everybody likes, we make brands that are simple stories that create an honest relationship, we're going to win. And then we've got to be ahead of the distribution, we got to be ahead of several other things. But I think we're always worried about what can go wrong, I think we say expect the unexpected, I think we think about invert the problem, or what would you not do? Those are kind of inverse inverted questions we often ask here that I think generates edge in how we analyze problems, because this is a unique game. It's unique market with 30 different states in a complex federal environment in which it's hard to handicap what's happening out of DC. So, hope for the best, prepare for the worst and hope really isn't a strategy. So hopefully, that helps a little bit.
Operator: The next question comes from Aaron Grey with Alliance Global Partners.
Aaron Grey: So wanted to kick here a little bit more on the verticalization. You spoke a little bit on the progress there in terms of selling into your own store. Just want to know how much of an impact you say there might have been on third-party wholesale business? Looks pretty strong, you spoke to some of the unit growth that you saw. So do you feel more comfortable where your own brands stand today within your store? We feel there might be some more room to go in sort of terms of verticalization? And then how do you feel like it is for some of the broader participants in the market outside of yourself? Thank you.
Anthony Georgiadis: Hey, Aaron. Anthony here. I'll take that one, another good question. So, I mean, look, we say a lot of things around here, one of which is the brands need to be able to stand on their owntwo feet. The concept of being able to move your own goods though your own retail. You can do that for a period of time, but over time the consumer will either stop showing up or gravitate towards the other products if there's not real value differentiation. So, fortunately, what we've seen in across our store base is that our brands are able to kind of perform pound for pound against the other products out there. And so that's one of the things we're just incessantly kind of focused on.  Whether or not we continue to kind of lean in on the verticality, I mean a part of it is, we just have to take what opportunities are given to us. So every market is different. The supply demand dynamics within those markets are materially different. And so as opposed to us thinking kind of top down how do we optimize, it's really bottoms up on a market to market kind of basis. So hope that kind of answers the question, but again, it really just comes down to a market to market kind of game. And we just optimize our position within each respective target.
Operator: The next question comes from Andrew Bond with Jefferies. Please go ahead.
Andrew Bond: Evening, all. Andrew Bond on the line for Owen Bennett. Thanks for taking our question. So maybe stepping back from quarterly delivery for a moment, I wanted to get your thoughts on uplisting, so specifically your thoughts on the recent actions taken by Canopy to consolidate their U.S. plant touching operations through a ring-fenced structure and this appearing to be permissible by the Toronto Stock Exchange based on recent comments from TSX officials. So if this is the case and this is permissible, would Green Thumb explore a similar structure to be able to uplift to the TSX? Just very interested to hear what your thoughts might be, puts and takes around these recent developments and what this might mean for uplisting potential for MSOs? Thank you.
Ben Kovler: Yes. Thanks, Andrew. It's Ben here. Good question on the topic that I think has been on everybody's mind and I'll speak to it. I think a direct listing has been on our mind for several years. I think we zoom out and back up, we’re first and one of the early companies registered with the SEC, filing S-1 through GAAP financials and stay compliant there. We are focused on building the best business in the current landscape and assume that eventually we will be able to list directly on a U.S. exchange. We continue to study the structural changes that are out there, and understand what's happening in sort of different kinds of ways. But I would say listing in the U.S. remains an objective of ours. We have to do list prioritization in order to make that happen and we are focused on checking those boxes. Don't think it's likely for us to explore very creative legal structures in order to sort of get somewhere, but we are always open to new ideas. We are looking and studying, but our North Star remains sort of what I said. And I believe the direct U.S. listing is in the future. So that's what we are planning for.
Operator: The next question comes from Pablo Zuanic with Cantor Fitzgerald. Please go ahead.
Pablo Zuanic: Thank you. Anthony, can you talk about the drivers for the fourth quarter, particularly in terms of new capacity that will be coming through in October, November, December in key states? I mean, you talked about the CapEx. And the same thing, if you can give color in terms of any new stores in the fourth quarter?  And Ben, I know it's only just one question, but thank you for the color regarding the resignation of the three Board members. I mean, the press release talked about disagreement as to the company's policies and practice related to personal misconduct. I have to say that's not very common, right? You would think that -- one thing that everyone agrees on is, what constitutes personally misconduct. So I don't know if you can give some color on that then. But Anthony, if you can answer my question first. Thank you.
Anthony Georgiadis: Sure. So Pablo, good question. We don't have much juice in the fourth quarter in terms of new stores and new facilities coming online. The only thing that could potentially pop-up is Rhode Island going live with adult-use. We think December 1 is kind of the target date there. But other than that most of the capacity expansion that we have completed is really going to start to show up in the early part of next year, and then throughout the balance in 2023. So not a lot of tailwind that we got within the business at the moment.
Ben Kovler: This is Ben. I'll answer your second question. So thanks for asking. I'm glad you did. So what I can say is the Former Directors gave their reasons publicly in the resignation letter and it's tough for me to really expand on that. I think like we have stated, the reasons had nothing to do in support of the emphasized, nothing to do with the company's business performance, our operations, financial performance, nothing about the financial statements or even the financial controls.  What I can say, that's it and as you know, cannabis is a tough and very unique industry. So it's not common, nothing in cannabis is particularly common. And every day we manage risks relating to operating in a federally illegal space. It's not for everyone. From my perspective, Former Directors and management were fundamentally not aligned really on some of the core aspects of our industry. And as you know, having an aligned management and board remains fundamental. So I do want to say I appreciate the experience and insights they brought to their tenure, but the business and we're focused on moving forward.  And finally as really -- as I said in my prepared remarks and as the prior question, strong corporate governance remains a top priority. We continue to actively recruit new board members in preparation for our potential U.S. listing.
Operator: The next question comes from Andrew Partheniou with Stifel.
Andrew Partheniou: Congrats on the quarter, and congrats as well on the Alimentation Couche-Tard agreement. Maybe just continuing on the ladder if you could. I'm wondering, if you could talk about how this deal really came to be? How long have you been working on it? Why did Couche-Tard choose GTI and Florida in particular, versus any other operator jurisdiction? And if there's any other kind of collaboration that we could see, between both companies seeing conveniences as a common aspect in both businesses?
Ben Kovler: I'll take that I'll share what I can. And so I can't speak for Couche-Tard. So I can speak for us and me and our strategy and how we've thought about it. We've been planning and strategizing how cannabis is going to be more easily accessible for everyday American consumers across the country in their everyday life. We've been banging the drum that this is a means to well-being, and thinking like the American consumer, we said as I think in every conference call. That leads us down a path like this, leads us to a counterparty that's progressive and how they thought about it. This is not their first foray into cannabis. They've done an arrangement of Fire & Flower, and we've seen that. But it takes a while to do any kind of arrangement, partnership, landlord tenant, anything in cannabis as you've seen across the spectrum across the supply chain. So we're very excited about what we have here. We're very aligned with test and learn phase of 10 or a dozen stores coming in 2023. We're head down in executing that and making sure we get that right. So when those are ready and when those are inspected, they're approved and we open and we get going. That's the arrangement. There are no more comments on what we would do with them or anything like that. I just think what you'll see from Green Thumb is continued thinking like the consumer to continue to drive a better experience and trust that those answers emerge as more common sense, similar to how we think this will look over time.
Operator: The next question comes from Michael Lavery with Piper Sandler.
Michael Lavery: I just wanted to see if you could unpack the 22% volume lift and -- maybe just -- and some of this I'm sure it's hard to measure. But is it driven primarily by share gains from illicit trade? Or is the price compression at least helping in terms of penetrating with those consumers? Are you seeing increases per consumer, is it ticket or traffic? Just how much can you kind of understand the drivers and what's really behind all that?
Ben Kovler: Good question, Mike, this is Ben. I'll start there and maybe Anthony will jump in. The 22% unit growth you're referring to, I think is what I said in my prepared remarks is the BDSA industry data, not a Green Thumb stat, right? Jump in, if I don't know. 
Michael Lavery: Yeah, understood that, sorry about that.
Ben Kovler: And so what we what we take from that really, like I said is, is the American consumer sees cannabis as essential for their well-being, and it's as a real viable share of market. We talked about being recession resistant. I think that holds true. So to your question on what insights do we see in consumer trends along those lines, it doesn't seem that wild for us, it makes a lot of sense, I think it's been talked about a lot that instead of buying a lot of premium aids, you might buy a lower price value half to get for aids for a little bit less dollars, but continue to get the positive experience from the product because it's not going to leave your daily life.  And so as we begin to understand and 80/20 the consumer base and understand those form factors, we have a lot of confidence in what's happening. And low and behold, 22% unit growth. So I think you also have to peel that back a little where are you seeing it as a combination of a lot of things. I don't think individual consumption is up 22% standalone, your new states coming on, massive growth in certain markets, New Jersey and others that are growing, but as you unpack those state of the states and look at what's happening in there, I believe that consumption is not going down, share gain from illegal, new markets coming on and better experiences for the consumer are leading to repurchases, ingrained position in their lives. And as we bring convenience and on-prem and make this easier for American consumers, we think growth is in store.
Operator: The next question comes from Scott Fortune with ROTH Capital. 
Scott Fortune: Real quick, I want to talk about Europe market. I just want to follow up on the U.S. exchanges and potential up listings there. Are you seeing – what’s kind of pathway to up listings? Are you seeing more discussions than you had in past? And what's the concern of the exchanges to overcome right with potentially say plus, Cole Memo or the FinCEN or AML guideline changes there? And then just want to talk about New York market kind of timing, expectations of that with the new regulations coming out? Kind of optimizing the New York market for TDI in the future? And is it becoming more like a California market where there's going to be a thriving illicit market established and slow retail rule out there, just kind of sense on them, that'd be helpful?
Ben Kovler: Sure, thanks Scott. A couple of good questions. On listing, I think everyday you get a little closer, I think we saw Senator Schumer's comments this week, we saw Biden a month ago. This is a growth industry in the United States. This is an economic stimulus package that hits communities that need jobs, needs tax revenue. And it's also bringing a lot of well-being, we've talked about the opioids, we talked about sleep and other sorts of things. So it makes a lot of sense. How this actually happens, what's in the details, a little bit unclear.  But the other strong force that's happening here is the need for capital access, especially for new entrants to the industry at non-paralyzing rates, especially in a rising rate environment. There must be access to capital or there is no industry and in particular, there is no newcomers. So some of us can produce capital on our capital and we've created a machine here but in order to stimulate new interest, which is something we're very positive on the positive interest to go down, access to capital has to happen and listening as a part of that as we engage in the U.S. banking system, small business loans and favorable sort of structures to stimulate investment. So all as part of the same story, and the phrase we were to SAFE plus, something like that, something like that. There is action. Obviously, next week's election is important and we will see what the table looks like towards the end of the year. On New York, we are head down and execute. There is a lot of noise, but there is 20 million people in the state who are going to want to consume a lot of premium indoor Rhythm Flower. We are very focused on what we are doing and controlling what we can control. So we are building world-class facility in Warwick. We love the community. We love the employees. We are excited. We are looking forward to sort of doing that. We are waiting for clarity from the regulators. It's a confusing situation out there. We are trying to be an asset and have constructive conversation about how the rules, how the timing and how the structure will work. I think it's a little ahead to say, New York will be California and there we are. Keep in mind, California passed medical in 1996. '25 years later, there is a lot of issues, okay. And New York has just licensed all the hemp growers. We have a lot going on. We saw some interesting news yesterday on testing requirements or lack thereof. There is going to be a lot of learning as we go. Fortunately for us and our shareholders, we have had a lot of experience making cannabis facilities, building high-quality products and getting this going. So that's our playbook. We think it starts in 2023. If I had to bet, I would say the second half of 2023 in real size, though. State center storage will open sooner and I think it will be a unique path not a day one like everywhere else, but for Green Thumb, head down and execute. We produce high quality flower, grow a lot of Dogwalkers. We think consumption in the state is going to be strong and we are going to get the return on invested capital that we planned. So we are pumped about '23 in New York.
Operator: The next question comes from Sonny Randhawa with Seaport Research Partners. Please go ahead.
Sonny Randhawa: Hey, great. Thanks for taking my question and congrats on a good quarter. I was hoping you guys could give me some color on Virginia and Minnesota. How is Virginia tracking in terms of new patient growth with the new requirements that I think you have a full quarter of as of Q3? And in Minnesota, I think we also saw pretty decent ramp in new patient growth for Q3. Is that directly related to the edibles or just I guess some additional color on both of those markets and how they are ramping relative to some other medical markets as they were ramping?
Anthony Georgiadis: Yes. Sunny, Anthony here. Some good questions. Look, obviously, we are very bullish on both markets. Virginia specifically, sure, when the adjustments rolled through in terms of how patients can get access, we definitely saw a bump. And at this point, we are seeing a nice steady climb on a monthly basis. It's obviously starting at a much smaller base, so it's going to take some time to build. We kind of tell the team this looks like Illinois, Pennsylvania, some of the earlier kind of medical markets when they first kind of got their initial lift. But I'll tell you that, we are pretty excited about what's going on there. We have got another facility under construction that should operationalize in the second half of next year. And so in addition to that, we still have two more stories that we are working hard to open up, which should happen in the first half of next year. In Minnesota, similar story. The edible legislation or regulations that certainly did allow for an immediate kind of pickup from the consumer, again, that's another market where we are seeing nice steady kind of month-over-month growth. The realities there is that, we're working hard to also open up. We have got two additional stores we are trying to open up. We have a large expansion that's currently kind of taking place and should operationalize in the second half of the year. And again, it's one of those medical markets where we have essentially seen the move before and we can point to other markets and look at the growth trajectory just where they are based off of when they -- when the programs effectively started in terms of timing. So, big plan for '23 in both states, and we really think the best is yet to come in both Virginia and Minnesota.
Sonny Randhawa: Just to follow-up on Minnesota. Are those two new stores going to be in the, I guess, the Twin Cities area, I think 54% of the new patients are total patients are in that market, and you only have two stores?
Anthony Georgiadis: Yes. So, Minnesota has a unique way of kind of breaking down the jurisdictions. But that's absolutely right. The two stores that we still have to open are in highly dense populated areas. And so that's why we're working, team’s working pretty hard to get those open.
Operator: The next question comes from Matt Bottomley with Canaccord Genuity.
Matt Bottomley : Just on the slight expansion in the adjusted EBITDA margin. This might be housekeeping, but I'm just wondering, more on a sequential basis. So, you had talked on an adjusted basis that SG&A had declined, but it looks like on the face of the consolidated number, there was a pretty sizable bump in SG&A. So I'm just curious if there's a non cash element to that to consider or if it's just transactional, or things that are non-recurring? And then just a quick follow-up to what Pablo had asked about on the board resignations, they're not to press the issue. But I know you guys were very thoughtful in how you – you mentioned, it's a difference of opinion. It's non-operational. And then and then Ben, I think you had alluded to some differences between how -- there's the federal schedule one element to this industry, which impacts all operators, that does sound more operational to me. Although albeit, it impacts every MSO and every legal state operator, versus personal misconduct. So I -- just sort of putting it back to you guys, if there's any other commentary and I'm only really asking because it's clearly, a topic that that we're -- I'm sure all analysts are getting a lot of inbounds on. So thanks for any comments.
Anthony Georgiadis: So, good question. Let's zoom out for a minute. So, let's start with kind of the gap SG&A figures. In the second quarter, we had -- there were some noncash fair value remeasurements, about $50 million, that was one time that effectively brought that SG&A number down. So that's why, if you look at -- you just look even at the press release, you're looking at 63.5 grown to 82.5. Reality is that, the 63.5 was, if you normalize that and add back the 15 million noncash that was related to some fair value remeasurement, that number is much closer to the kind of the gap number that we saw in the third quarter. Internally, we look at normalized cash based SG&A, that strips out depreciation and amortization, that strips out stock based comp, and then you've got some of the add backs as well. And so, that was the number candidly that we were most -- one of the most excited about for the quarter. We had kind of a normalized SG&A of $57 million in the second quarter and 53 million in the third quarter. And again, that was really driven by effectively some of the typing that we did earlier this year that really is now starting to show up within the P&L.  As it relates to your second question, I'll just tell you that at this point we have no further commentary than what we said. We can't speak for the Former Directors. We understand that you all are -- continue to get some inbound calls. But we've been pretty direct as far as what we can and can't say here and we stand by that.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Ben Kovler for any closing remarks.
Ben Kovler: Sure, thanks, Betsy. Thanks for joining us, everybody. I will be back to you in late February early March with the annual numbers and wish everybody a safe and healthy holiday season and talk to you soon.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.